Operator: Hello, and welcome to the Gecina 2024 Full Year Earnings. My name is Laura, and I will be a coordinator for today's event. Please note, this call is being recorded. [Operator Instructions]. Today, we have Benat Ortega, CEO; and Nicolas Dutreuil, Deputy CEO, in charge of Finance, as our presenters. I will now hand you over to your host, Benat Ortega, to begin today's conference. Thank you.
Benat Ortega: Hello, everyone. Thank you all for being here. I'm very proud to present our 2024 earnings, which demonstrate remarkable performance across all facets of our business this year again. I would like to cover 4 key topics with you today before answering the questions you may have: operational and financial performance reflecting sustained growth with earnings above guidance; our portfolio strategy focused on value creation; a sound and healthy balance sheet that provides capacity to operate and growth; and our continued performance on energy and carbon that really stands the test of the time. The market has confirmed our convictions. The return to the office in modern, well-located assets is a reality in Paris. We see a strong desire for amenitized living spaces that address through platform seamlessly integrating all real estate expertise. As an example, our capacity to deploy our new offerings of turnkey, fully serviced office and housing solutions. And third, sustainable real estate continues to have a strong appeal both for tenants and for investors. Our earnings, €6.42 per share, materialized a third consecutive year of growth, reflecting a 21% growth since 2021. Recurring net income results above guidance with the systematic optimization from the top line to the bottom line. And all drivers contribute to Gecina's robust cash flow performance this year again: revenue optimization, cost base optimization and meticulous management of our cost of debt. Our leasing performance remained strong in a decelerated leasing market due to the Olympics this summer and some political uncertainties during the second half with solid successes across all locations. Central Paris accounts for 55% of our leases in terms of square meter, but also see significant activity on the Core Western Crescent and the rest of the portfolio. One notable figure is the 10% rental uplift, reaching up to 44% in Paris CBD. Our diverse and ultra prime tenant base, as you can see on the slide, is by far one of our key strengths. Solid like-for-like growth at 6.3%, especially in central location, driven by indexation and rental uplift. This represents almost €40 million of additional revenues within 1 year. Overall, organic growth as well as the new deliveries have more than offset the impact of the €1.3 billion of disposals of mature, low-yielding assets that we achieved in 2023. Our active asset management expertise consists in finding the sweet spot between our transactional fundamentals, capturing the indexation, operating and growing all our assets day-to-day and a tailor-made approach for each major segments of our portfolio, capturing rental uplift and deploying our accretive turnkey models in Parisian offices, securing long-term tenant retention across the rest of the portfolio and leveraging insights from student housing performance drivers to enhance our broader residential portfolio with serviced, furnished turnkey apartments. Our turnkey offerings are a good example of this agile approach to optimizing rents. On the office side, we reached prime rents net up to 30% to 40% above ERVs with minimal CapEx on a floor-by-floor approach with 7,000 square meters already deployed under the Yourplace brand. The equivalent on the residential side has been deployed on 300 units, representing a net rent of €4 million. I would like to take a moment to reflect on additional key achievements from 2024 that demonstrate how we operate and grow our portfolio. We successfully delivered the Mondo project on time and on budget in Q3. This project was fully pre-let to Publicis a year ahead of delivery. Through this project, we created more than €130 million value, representing a 34% increase compared to the total investment costs despite yield expansion that occurred in the meantime. Icone is another example of our expertise in terms of redevelopment. We turned this quite anonymous building into an architectural icon in the Paris Golden Triangle. It's now fully pre-let to a global investment manager, ahead of its delivery in H1 2025. This new landmark deal for Paris CBD at the best market trends will reflect more than a 60% value creation since the project started compared to the total investment cost. Another strong illustration of how we extract value is the transaction project of our student housing portfolio. This project represents an almost 20-year investment, development and asset management story with a leverage internal return of 10.9% since [ '27 ]. Altogether, this transaction and the 3 CBD projects delivered in '24 or to be delivered early '25 represent around €400 million of value created. This day-after-day value creation works on the long run, allows us to accelerate our rotation strategy and unlock capital by divesting mature assets at premiums versus their valuations in order, one, to consolidate our balance sheet, debt has decreased after those disposals by almost 20% in only 2 years, but also to reinvest in a more profitable greener project, which yields 5.7% in our preferred locations, [indiscernible] compared to an average net initial need of 4.2% in the same locations, but also provide capacity for opportunistic acquisition while always sticking to our investment discipline. Before we proceed, I would like to emphasize our proven track record in terms of repositioning prime office assets in the best Parisian locations. This showcases our expertise in managing complex projects to fully unlock the potential of central assets. Between 2018 and 2023, we delivered 11 projects in [indiscernible] creating an average value of 36%, almost €800 million. Again, for the last 3 office projects delivered in '24 to be delivered in '25, we are achieving 30% value creation. For every euro we invest in the pipeline, we create €2 of value. We are now ready to embark in a new phase of development by launching 3 new projects, representing a CapEx plan of €500 million still to invest with an expected revenue of €60 million to €70 million by '27-'28. Let me present these projects in more detail as each of them exemplify a different aspect of our expertise in value creation. Quarter is a premium office offering that we will partially operate through our Yourplace brand, let's say, turnkey offices, just a step away from this city hub of [indiscernible]. With a good track record right next door with Ibox that we achieved where we achieved 47% value creation at delivery in 2019. Mirabeau, the project is aiming to magnify the architecture of this 37,000 square meter asset located in Paris with large, super optimized floor place and an extensive range of services and terraces. Arches du Carreau [ph] is an innovative mixed-use transformation in Neuilly-Sur-Seine. It is our third large-scale prime redevelopment in the city's main avenue, following the 157 Charles de Gaulle 2 years ago and the 96 Charles de Gaulle before. This project is also a prime example of our commitment to sustainability, as we are replacing the previous emissive boiler system with 18 pumps to significantly curb carbon emissions. On this matter, in 2024, again, we improved energy consumption by 4.2% and carbon emission by 12.3%. Our method is based on better day-to-day management and monitoring of our assets and partnering with our clients, greener energy with the acceleration of the shift to renewals now at 80% and better investments with a targeted approach to optimize CapEx and innovative solution that I will present later. I quite like the example of [indiscernible] because it highlights the crucial role of client relationships in achieving maximum impact on day-to-day energy monitoring. On these very prime assets, [indiscernible] we successfully reduced energy consumption by 16% in 2024 and curbed carbon emission by 40% through connecting the building to urban networks, optimizing lightning in private areas and implementing sensor-based ventilation. All of this was accomplished at a one-off cost of 0.1% of the gross asset value with immediate returns, as you can see in energy performance and carbon performance. Innovation also. On our residential compound of Ville d'Avray, we are replacing the existing carbon-based energy production and distribution system by our state-of-the-art heating network. This innovative solution will store heat during the summer in the ground and release it during the winter. In collaboration with leading experts, this project simply stands as the largest of its kind in France. With a very moderate CapEx one-off cost of 1.4% of the gross asset value, we will significantly curb carbon emissions by 86% and save 1,800 tonnes of CO2 every year. We also connect our assets to urban heating and cooling networks whenever possible. That's the beauty to be centrally located. This approach offers multiple benefits. With moderate CapEx, we leverage the city network's own decarbonization efforts. And additionally, we stay valuable space that can be leased at higher rents, therefore, creating more value. Let me now present the key elements of our strong and healthy balance sheet that provides capacity to operate and grow. Despite the quiet investment market this year, we observed a strong polarization with 80% of the deals occurring in Paris and an increased competition for the most central areas that will drive yields down. This activity supports the group valuation, obviously. Portfolio value, including a 0.7% increase on a like-for-like basis, demonstrating the portfolio's good fundamentals, supported by rental growth, proactive asset management and a more stable economic backdrop. This year again, we continue our efforts to enhance the quality. Our top ratings were recently confirmed. But also, we maintained a moderate and low cost of debt with an optimized hedging profile, providing us visibility, thanks to our disposals approximately 100% coverage for the next 2 years and 85% for the next 5 years. But we also improved, in 2024, our strong liquidity profile by signing €1.3 billion of undrawn credit facilities. And four, we completed the greening of our last credit line, ensuring that our financing is now fully green, not only bonds, but also credit facility. In light of those achievements, we will propose a dividend of €5.45 per share or in cash at the next shareholders' general meeting. This represents a €0.15 growth per share. Looking ahead at 2025, we anticipate another step forward in our strategy to create value. While indexation is expected to continue slowing down, it will remain above its 10-year average. We foresee strong demand for centrally located offices and are deploying innovative leasing initiatives outside Paris to manage our leasing challenges. Our rents will reflect the impact of disposals announced recently and the transfer of assets to the pipeline as well as the contribution from recent deliveries. Consequently, we expect the fourth year -- fourth consecutive year of cash flow growth with a recurring net income group share between €6.6 and €6.7 per share, reflecting another time 2.8% to 4.4% growth. I'm confident that once again this year, our expertise and commitment will drive growth, create immediate value and lay the foundation for future successes. Thank you for your attention, and it's now time to answer your questions.
Operator: [Operator Instructions]. We will now take our first question from Florent Laroche-Joubert of ODDO BHF.
Florent Laroche-Joubert: I would have 3 questions, if I may. My first question would be to come back to your rent uplift of plus 44% in Paris CBD. My question would be to know if it is replicable for the next coming years, notably in the current context of political context in France today? So what is the appetite in this context of your offices tenants? So my second question would be to come back on your leverage, which is quite low now. Could you please provide maybe more visibility on how you want like to reinvest this capital? So I would imagine through the pipeline, but maybe also through acquisition maybe? And my third question would be on the increase of the dividends that I think is quite -- is positively welcome. But maybe could you please maybe give us some more explanation about the rationale of this increase?
Benat Ortega: Thank you, Florent, for your questions. Plus 44% CBD replicable. Listen, there is still a huge scarcity of qualitative product inside the CBD market. So I never like to make big projections on reversion on that. But yes, the fundamentals are still super sound. We see an excellent feedback from the market on Icone. As you may have seen, we have set a new -- it's quite a unique asset, obviously. So it can't be redeployed everywhere, but clearly strong appetite and same for the turnkey offices. So we are still positive on what is happening on the ground. Second, on leverage, obviously, you have seen that we have relaunched 3 major projects. So that's the first big way, in fact, to use in a profitable way our cash. We try to keep our leverage in a very decent position. And obviously, we will look at opportunities, but as you may know, we never like to comment that in advance. And third, on the dividend, I think we have seen a significant cash flow growth over the last years and we still see a growth for 2025. So in that context and based on the confidence we have in the business, we have decided to reinitiate the growth of the dividend. So for me, it's really a sign of confidence in our business.
Operator: And we will now move on to our next question from Veronique Meertens of Van Lanschot Kempen.
Veronique Meertens: Maybe initially a follow-up on the previous question of Florent. So indeed, your LC looks very healthy. Also after committed CapEx, it is still very healthy. And it seems that values have slightly troughed. And also when I look at your controlled pipeline, it seems to have dried up a little. So I guess that we won't be expecting major projects added to the committed pipeline in the near term. So how serious are opportunities in the market to deploy capital? And otherwise -- and obviously, the question has been asked often, but isn't this really the time now to start a share buyback program?
Benat Ortega: I was expecting that question, Veronique. Yes, there is a history -- I think we -- real estate, it's a long-term business, right? So I acknowledge that markets are a bit more short term, but our business is long term. We have been buying assets over time. And we are very selective on one location and second, our capacity, in fact, to generate better value than the seller. So that's why we obviously monitor the market. We have tried some deals this year. We will continue next year, but very committed on our investment discipline and very -- but it doesn't mean we won't do. Typically, what you see on our pipeline is assets that we have bought in the last year. As you know, Mondo that we delivered was bought some years before. Carreau in Neuilly is an asset that we bought in 2019. So yes, it's a long-term business. Each time we commit, its a large-scale project. So we deploy a lot of capital each time. So yes, we are committed to continue to grow the company. Just have in mind that we have been capable to grow the cash flow without any external growth. So within the 6.8% cash flow growth this year, there are no acquisitions there. And within our budget for next year and our guidance, there are no acquisitions. So we are capable, in fact, to grow the company without those elements.
Veronique Meertens: Okay. Very clear. And in terms of that rental growth, obviously, indexation is coming down a bit. Can you maybe highlight what you now have as an assumption for indexation coming through in your guidance? And there are quite some break options in the more secondary locations in '25. Are you worried about that? Are there already discussions ongoing? And what kind of reversion are you looking into for those kind of breaks?
Benat Ortega: Yes. There are 2 types of questions there. I will not name what we own at secondary locations. What is outside Paris is in Boulogne and La Defense where you have a significant leasing markets. Typically in Boulogne, we are managing expiries. We renewed some tenants. That's what you saw on the deal flow that we showcased this year. We have already relet almost 15,000 square meters in Boulogne. So yes, there is a decent leasing activity. So we are not located in secondary locations. So it takes time. Like I mentioned, the market was a bit slower in 2024 because of the Olympics. It was not easy to visit assets. So it was a bit slower. But yes, we have a decent leasing tension, and we achieved very serious rents on those locations.
Veronique Meertens: Okay. So -- but I mean, if I look at your average occupancy rate, for instance, for the Western Crescent, and other locations, it did already come down quite a bit throughout the year, and I appreciate that's because of slower letting. But are you comfortable that, that's catching up now despite the break options that are coming on?
Benat Ortega: Yes, I think you need to look at the composition of our portfolio. Obviously, we have -- 75% of what we own is in Paris. And there, you can see decent rental growth. And obviously, in other locations, we have to acknowledge that it's a bit tougher. But still, we see leasing appetite. We signed leases. So yes, confidence. It takes a bit more time. That's why occupancy decreased a bit, but very confident in our capacity to re-lease those square meters. And in average for the group, it's a small portion of what we own. Obviously, it impacts a bit the general view, but obviously, it's still positive overall for the group. And obviously, those leasing challenges, that's why we have a bracket for our guidance.
Operator: And we will now move on to our next question from Valerie Jacob of Bernstein.
Valerie Jacob: My first question is -- I mean, it's already been asked, but I just would like to sort of square the circle. You've got a very strong balance sheet. You're looking at opportunities, but they aren't a lot in the market. So I was just wondering how do you think about your LTV? And what type of level and how long are you happy to operate with such low gearing? And at what point do you start looking at other possibilities like increasing the dividend or share buyback or things that we've already discussed? That's my first question. And my second question is about your La Defense building, about Engie, that's leaving in a couple of years. I wanted to know if you could share some thought on your re-letting strategy? Do the asset needs to be emptied? Do you need some CapEx? How is the rent compared to market rent? And shall we expect some decline in rent? So any thoughts would be welcome.
Benat Ortega: Yes. So on the balance sheet, I think like I mentioned, I will give a bit the same answer. I think it's positive based on the uncertainties and so on to have an healthy balance sheet. So we are very proud of it. It has taken big job for the teams to handle it. And as a reminder, we will get only the cash by the mid of '25. So we have plenty of time to manage that. But again, it's a long-term business. And again, when you see the value we have been capable to create along the years on those acquisitions and on those pipeline projects, I'm very confident on our capacity to generate value on that ground. And keeping optionality on the balance sheet, it's a way to seize those opportunities and to be sure that we can handle it. And that moves to my next step, which is La Defense. And what we have seen over the last years and especially after Ukraine war is a significant decrease in the production of new buildings and a significant decrease on the average quality that we see forward in those locations. T1 was excellently built. So we have a small refresh to do because, obviously, the lobby is a bit old fashioned. The services will be enhanced, but we don't need a massive refurbishment. The facade with a small adaptation is at the same level of the new towers at T1. We have studied deeply. So it will be obviously a renovation, and it will be, again, a brand-new tower to be delivered by '27-'28. And we think -- and the leasing market has been dense in La Defense last year, almost 200,000 square meters less, and mainly on those new efficient, modern buildings in La Defense, and that's what is T1. So by the time we get the assets, I think competition will be less fierce, and we will release it. Obviously, it will take time. It's a big tower. But we are very confident in the quality of what we own and the fact that in La Defense, the assets which are properly let and the prime rents are still pretty high in La Defense for the best towers and T1 is one of the best ones, in a context where there will be no new offer by then.
Valerie Jacob: Okay. And just on the rental side, do you expect any negative impact on rental reversion?
Benat Ortega: Well, as you can see, we have posted 10% growth last year. So it's really a combination of our capacity to grow the rent somewhere and sometimes accept the rental decrease. So yes, typically...
Valerie Jacob: Sorry, I was talking about Engie.
Benat Ortega: Yes, there will be a small negative reversion, obviously. But again, it will be considered as a new tower.
Nicolas Dutreuil: And maybe, Valerie, if you consider the global dynamic of Gecina portfolio, I think that you already have in mind that at this period of time, we will have also the deliveries of the 3 major projects that we have launched in '24 or beginning '25, meaning that we have to consider this as a balance between what's going to refuel the pipeline or light redevelopment and the new deliveries.
Operator: And we will now take our next question from Adam Shapton of Green Street.
Adam Shapton: Just one for me on capital allocation. So in 2 parts. So the first is on your new developments. Could you talk a bit about the assumptions that go into the 5.5% yield on cost in terms of rents, but also maybe cost growth and cost inflation during those projects? And then more generally, and perhaps following up from Veronique's question about buybacks, how do you think about the required return in the context of your share price that has been about €100 for 2 years now? It's not a short-term matter. What's the required return to commit capital to new developments in that context, please?
Benat Ortega: Coming to the previous one, we will try to deliver similar value creation like we have achieved on the recent deals. That's why we highlighted what we have done in the past. So there is no reason we can't achieve those returns. On new developments, obviously, maybe some of our tenants, and we are already in some discussions with some tenants for that pipeline. We will not give precise assumptions on the rents. But we are quite confident on our capacity to lease it at those prices that we have underwrited or better, and discounts are already at higher rents than what we have underwrited. On the cost, have in mind that -- and maybe you are referring to the increase in construction costs in the U.K. We are still in European Union, France. We have less issue on unemployment. So construction cost has increased way less than the other geographies. So we have less that problem than in other geographies. And in the meantime, rents have increased a lot. So that's why we can generate good yield on cost on those projects. And second is, have in mind that when we launched the project and we are finalizing the discussion with the large construction companies, and you know that we have several ones, super healthy, super professional in France, I will not name them, and I'm sure you know them for those type of projects. And when we start, we start with a fixed construction costs with all inflation and so on already agreed into the initial pricing. So once we have secured those deals, it's not yet finalized, but we are in a final discussion with those construction companies. And once it's secured, then both timing and costs are secure. So it's really [Technical Difficulty] construction cost than elsewhere. And second, when we go, it's purely secured. And that's why, as you may have seen, Mondo, Capucines, [indiscernible] and so on, we are on time and on budget is one, we have excellent construction companies in France; and second, our contracts are securing us on both.
Adam Shapton: Sure. And on the second point about the appropriate hurdle rate given your implied cost of capital, your share price, you mentioned uncertainty about interest rates in your previous answer about the balance sheet. How do you think about the appropriate hurdle?
Benat Ortega: Each project depending on the risk, obviously, if we have pre-let, it's a bit easier. So we look at it one by one, to be sure that we create the best value. And those projects, Carreau in Neuilly, we bought it in 2019. We will deliver in '27. So it's almost 10-year program. So the volatility of the share price, remember the share price was at €115 a year ago. So we can't manage those projects based on the volatility of the share price short term.
Operator: And we will now move on to our next question from Amal Aboulkhouatem of Degroof Petercam.
Amal Aboulkhouatem: I have three questions. First one would be on the residential [Technical Difficulty]. So I just want to know how to look at the profitability of this new service offer, you are trying to expand. Just to give us some idea of the level of profitability? Second question would be on the Flandre asset project that will be delivered in Q3. Can you give us some color on how the letting process is ongoing? And the third question is on the Mirabeau project. To be honest, I'm a bit surprised because I would not consider this tower as located in centrally -- in CBD area? And did you consider turning this asset into a mixed use, including some residential?
Benat Ortega: On what we comment on rents on our turnkey office buildings, we tend to say that we are 30%, 40% above ERV, and that's discounting the CapEx over the duration of the lease. So that gives you bit magnitude of the returns we can achieve. So we amortize the CapEx over 9 years. There will be -- we signed 2-, 3-, 4-year deals. No CapEx after the departure of the first one. And we look at the net-net-net rents after the service charges, after CapEx and so on, and we compare that to the ERV. So it's a purely incremental business. So that's first. Second, on France, so we named it Canal 27. It's an asset that we deliver mid next year. It's on the eastern part of Paris. So obviously, it's not CBD assets. Most of the time on those markets not pre-let, but we already have active discussions. So we will see over time. But I will not be surprised and in our budget, it's what we have assumed that it's not fully pre-let at delivery. And third, on Mirabeau, I never like to give examples for my competitors, but it's next door to one of the previous SFL projects that was pre-let at super-high rent. We are even better located because we are on the Seine river. We are next to [indiscernible] Shopping Center, which is a fantastic success and super lively place. We have metro line just at the bottom of the tower. So no, I would say we are very Parisian there when you see the views and the location. And remember that we know quite well that neighborhood because we have been developing [indiscernible]. But now, the location has improved very significantly over the years. So I'm sure that will be a new landmark for Paris.
Nicolas Dutreuil: Yes, this store has been built in the '70s, and it has always been let. So meaning that there is always appetite for this location.
Benat Ortega: I mean last point around -- because there are a lot of criticism around what the City of Paris is doing. I'm not that kind of guy. The connectivity typically by bicycle through the Seine is becoming a major highway for Paris. And that asset again in next to that highway, which is one of the best ways to move inside Paris in the future. So another, I think, positive elements of that project, thinking about green connectivity also.
Amal Aboulkhouatem: It's only available for people living in Paris, I'm afraid. And just the last question on...
Benat Ortega: No. I have some friends in the room from Boulogne. No, no, I think it's -- obviously, that's why I was commenting, we have [indiscernible]. So the train lines just next to the...
Amal Aboulkhouatem: I'm sorry, but [indiscernible] is not -- we all know it's not the most efficient one. So that's why the connection [indiscernible].
Benat Ortega: Yes. Sure, sure. We have 2 metro lines, one [indiscernible] bicycles. Obviously, we have a large car park because one of the targets might be people which are outside Paris relocating inside Paris and then we need car park. So we have, I think, the full variety of ways to come to that office for the companies we target.
Amal Aboulkhouatem: Okay. And just to give us an idea, what level of rent are you expecting on this project? I know it will be completed in 2027, but just to give us an idea.
Benat Ortega: Like for Icone, we always try to beat the market. So when the market is at €1,000, we try to €1,200. And have in mind that SFL, it was €680, so that gives you an indication of what we will try to do.
Operator: And we will now take our next question from Stéphanie Dossmann of Jefferies.
Stephanie Dossmann: Maybe a follow-up on the leasing challenges. I appreciate you talked about Engie and the increase in the occupancy rate so far. But if I look at your Slide #44, I don't have the detailed figures, but a rough estimate is something like €60 million of breakup options outside of Paris. And I was wondering if you could give some color about the portion of rents which you see at risk. I'm aware you haven't received any notification for H1 so far, but going forward? And maybe a second question on your dividend. It has increased indeed, but what would be your normative payout, please? And maybe last but not least, and I'm not sure if you can say anything about that? But about your main shareholder, what is the strategy of Caisse de dépôt du Québec since they have integrated Ivanhoé Cambridge please, regarding their stake in Gecina?
Benat Ortega: Three very different questions. On leasing challenges, no, we have not received any break for the H1 '25. But obviously, it's a challenge. But again, that will be re-let over time. And as I said, we are on the way almost to release 10,000, 15,000 square meters. So very confident in our capacity to re-lease it. There is a good appetite. And I was mentioning public transport. You know that's one of the biggest lines from Grand Paris will start in '26 in Boulogne and going to Orly and then to the Eastern part of Paris. So the accessibility of Boulogne will be significantly improved compared to current situation and our buildings are next door to the new translation from Grand Paris the Line 15. On the dividend, yes, we have increased it. Like I said, I think the 100% payout that was in 2021 was a bit high. So we try to cover and return more cash. So that's why we have increased the dividend less than our cash flow growth. We are quite satisfied where we are today. So that's why we propose it with great confidence. And we will see over the next years how we make it evolving, but I think it's more sound than it used to be. So very happy of that situation. And shareholders, it's a bit like acquisition, I never like to comment on what they try to do. It looks like they want to operate through partners, through operating platform. And typically, I think we are one of the best operating platform for offices in Europe. So I hope they are happy with what we do.
Operator: [Operator Instructions]. We will now move on to our next question from Céline Soo-Huynh of Barclays.
Celine Soo-Huynh: Two questions for me, please. The first one is on portfolio diversification. You've been screening the office market for months now, but no acquisition has been announced so far despite you having a good fire power to do so. So have you considered diversifying away from offices into a new asset class, which would be higher yielding with more potential? I'm thinking, for example, that France has announced a big time for AI, so thinking data centers, for example? That would be my first question. And my second question is on margins. With the sale of the student housing portfolio and some more residential, have you factored in some margin improvements into your guidance this year?
Benat Ortega: Portfolio diversification. As you may have noticed, I have done retail in the past, but we don't really plan to do retail. Even if I like a lot, my experience at Klépierre. Yes, we always look at alternatives to our business model. But for the time being, nothing specific to mention to you. On the margins, obviously, student housing disposal should improve a bit. But like you saw, it's not really depending on our disposal strategy. We try to streamline our cost structure every year. That's what we have done last year. And you may have seen that G&A decreased last year already without any disposal in '24. And it's not the disposal of the [A.B.L. Metal] building that drives a decrease in cost structure. So yes, we try to optimize each time all the lines of our P&L, and that's the way to drive growth. So obviously, we will try to continue.
Operator: We will take our next question from Ana Escalante of Morgan Stanley.
Ana Escalante : I would like to ask three questions. The first one is related to value creation. You are quoting development margins that, if I understand correctly, show valuation of completion versus your historical acquisition cost plus invested CapEx, but I'm interested in learning how good this development profits look like when comparing the final valuation with the latest valuation of the asset before vacated. Therefore, another way to ask the question is, what's the kind of incremental development profit or NAV accretion from those developments, not single development, but just in general? The second question is related to that one. I'm also interested in learning about the incremental return on the additional CapEx. So what's the incremental rent you're getting in those redevelopments versus the CapEx you are investing? And my third question, in terms of cash flow growth, how should we look at the impact from lease incentives in cash? Because given the leasing challenges you have in the peripheral or in the areas outside Central Paris, assuming you re-let those buildings with incentives in line with market up to 40% in La Defense, how should that impact your cash flow growth net of those incentives?
Benat Ortega: Three questions. One, when we talk about value creation, we calculate the tick based on the last valuation before we launch the project. So it's really answering your question. We don't go from the acquisition to the end. We are really referring to the pure value creation of the project. So valuation when we start the project, plus of the CapEx, to be compared to the valuation when we deliver the project and the risks there off. So I think it's exactly the figure we were looking for, obviously, typically Mirabeau that we bought in 2012. In the meantime, we had value created between the acquisition cost and the valuation when we launched the project. But we don't take that into account. So it's not a value creation, including the fact that we buy cheap, it's really purely related to the project.
Nicolas Dutreuil: And maybe just to comment on that. And if you look at how appraisers are evaluating this project, they are considering the value creation mainly when project is let or pre-let and when it's delivered. So meaning that for the 3 projects that we have just launched, there is today no value creation, which is included in our NAV.
Benat Ortega: Second, on additional rents. Like we commented on the previous reveal, on those 3 projects, we should have an increase in rents of between €40 million and €50 million. We will see, around €40 million, €45 million maybe, to be compared to the €500 million CapEx. So that's the increase compared to the situation of the asset before we launch the project. So that gives you the return in CapEx.
Ana Escalante : Net of the €20 million-or-so rents...
Benat Ortega: Yes, that's my point. So yes, it's -- we will generate €60 million, €70 million by '27-'28, but we have lost in the meantime 2025. And that's to be shown against the €500 million CapEx, yes. So it's an excellent return on CapEx because of rental growth on those areas and because of the fact that we create square meters. Have in mind, we have not mentioned that this time, but previous time, in Carreau in Neuilly, we are adding square meters because the zoning plan was allowing us to add several thousand square meters of new wooden built offices. On top of that, we have acquired the market from the city, and we are transforming some storages from the market and so on into offices. So there is clearly additional square meters on top of what we used to own because of the redevelopment. So it's really, we are trying to extract as much value. Again, like I mentioned on the connection to urban heating, each time we can, we try to optimize technical locations, technical areas and to give back that to the office and obviously, it's not the same rent. And third, on leasing incentives, yes, you're mentioning 40% in La Defense, but that's not the case always for the new towers and for the high-quality towers. I think in La Defense, there are 2 markets: the obsolete, super tough to lease, not green, not efficient. And T1 will be less competition because by that time, I think all the newly built will have been let. So less competition than today. And the fact that we will not be in the range of all those obsolete assets, but very profitable. And obviously, we don't target to give those incentives.
Ana Escalante : Yes. But maybe I didn't ask the question in the right way. I would like to understand in terms of your recurring earnings figure, that figure straight lines the impact of those lease incentives? Shall we expect...
Benat Ortega: No. We already have them. The previous lease was already encompassing some lease-intensive spread over the time. So that's why I was commenting on what should be the future incentives we'll have to give on the tower? Because it has to be compared to the current ones. And obviously, for quite a while, you have incentives in all the locations. So I guess, your question, that's why I wasn't -- I tried to listen to you carefully, you are trying to understand the gap between the current situation and the future situation on that front, and that's why I was more mitigating your fears on that.
Ana Escalante : Yes. But if the lease now is coming to an end, that lease shouldn't be under the incentive or rent-free period. But if you are now re-letting it, it should fall. So in terms of cash flows, will we see kind of a minor impact in short-term cash flows resulting from those re-leasings, not the recurring earnings, but the actual cash flows, which will be mitigated with time?
Benat Ortega: Yes, pretty minimal. At group level, again, 75% of what we own is in Paris. So obviously, yes, it doesn't help, but it's not at the magnitude of our group and the capacity for us to grow the rents elsewhere. So I think what might impact and some of your colleagues mentioned it is the decrease of occupancy that is more impacting. But over time, like I said, I'm confident in our capacity to recover. So day 1, obviously, you lose the rent, but once it's re-let, then it's bouncing back in the cash flow. And again, in the meantime, like Nicolas mentioned, we are supposed to deliver 3 large projects in excellent locations as we hope on the same timing. So I think we are a large REIT. So obviously, T1 is a big tower, but we -- our job is try to mitigate those topics to be sure that long term, we generate cash flow growth.
Operator: And we'll now take another question from Benjamin Legrand of Kepler Cheuvreux. We are not getting any response from you, Benjamin. That's the last question. I will now hand it back to Benat Ortega for closing remarks.
Benat Ortega: Thank you all for listening today. Thank you for your questions. As you may have seen, we are very happy to continue to generate growth for the fourth year and launch future growth with those projects. So very happy, very confident, and we will see you all with great pleasure over the next days. Thank you all. Bye.
Nicolas Dutreuil: Thank you, bye.
Operator: Thank you. This concludes today's call. Thank you for your participation. Have a good year ahead. You may now disconnect.